Operator: Welcome ladies and gentlemen to Glencore's First Half results 2015. Format will be the usual presentation followed by Q&A. With that I will hand it over to CEO Ivan Glasenberg.
Ivan Glasenberg: Good morning. Okay, looking at the results for the first half. As you can see it was tough first half, we all know what happened to commodity prices on the back of Chinese demand and other issues taking place in China, so that naturally had a major affect on commodity prices. So it had an effect on our earnings in the first half, but as you can see adjusted EBITDA is $4.6 billion that’s down 29% from last year and the important part of our business, the marketing part of our business the EBITDA was $1.1 billion, now this is lower than what we have always been forecasting for the year, we always forecast between 2.7 to 3.7. We have given guidance for this year that we should still hit around about 2.5 billion for the year, the marketing is down, Steve will give more details later, but a big part of it is the metal side mainly due to aluminum and nickel, which has been down subdued markets in the first half in China, also the stainless steel industry was weaker in China during the first half, premium staying down in aluminum and nickel so that had an effect and the metal was down. Fortunately as I said on the energy side very strong earnings on the marketing as we said last year the structure in the oil side was very much good and favorable for our business and therefore we were able to increase the marketing part in the oil in the first half. And hopefully that will continue well into the second half. Coal was down, because of the challenging markets we’ve had in coal, we’ve seen what the markets have done, reduction in the Chinese imports so coal, fortunately you have had reduction in the exports from Indonesia, but still the challenging market. [Ag] (Ph) was a little bit tougher than the first half of last year, but remember first half of last year was very strong, because you had this massive crop in Canada and in Australia, and therefore we had a very strong first half. So you can’t really compare like-for-like, but will say export taxes in Russia, which is, affected us during the first half that will be overcome in the second half of this year, and we anticipate having a strong second half in the Ag business on the trading side. So therefore, trading still sustainable even in weak commodity markets in a 2.5 guidance for the year shows that it doesn’t fold linear to commodity prices and we continue our guidance going to the future, we keep sitting on the 2.7 to 3.7 we are still confident in that. Very important, as Steve will take you through the financials later. That the net debt is down $1 billion, we are down to $29 billion, we have managed to reduce that and in [indiscernible] of the debt and the balance sheet we are still able to distribute a dividend of $0.06. What we’ve done with these falling commodity prices, we are doing everything possible to reduce costs in the company. When we merged with the Xstrata you remember we took a massive of amount of course side of the business, we said we’ll continue, we first took the low hanging fruit out of the business, the easy stuff we could get at, but now we keep chasing the more difficult stuff and in the first half of this year. We reduced cost by being more efficient, efficiency at operations, better purchasing methods, reduction of staff, reduction of offices around the world, et cetera and we’ve managed to reduce cost from our $400 million and we’ll continue pushing that during the second half and we believe we will get an additional $400 million within the 12 months. Very important is reducing the CapEx of the company under this environment, a lot of it comes anyway with devaluations of currencies, et cetera, lower cost of material inputs. So a lot of it happens anyway, big amount we reduced CapEx in operations especially in oil, in [indiscernible] we don’t need to spend more CapEx and we reduced any places where we feel the commodity does not sustain any growth et cetera. So reduced CapEx this year as we said we will be down to $6 billion from the 6.8 we gave guidance previously and going forward in 2016, we had guidance originally around about 6.6 there. We reduced it to below $5 billion and I think we will be well below the $5 billion in 2016. Very important from the working capital, we have always said this is a company that can control its working capital. If commodity prices fall, we control the levers and we can do things in our balance sheet to make sure we run a more efficient balance sheet, naturally certain amounts come down or amount were reduced because of no commodity prices and that will happen automatically. We can also run certain amount of inventory in the business and run it in a method, and we control it in the trading part of the business. So as Steve will take you through the details, but the non-RMI working capital has reduced $3.2 billion that just being more efficient in how we handle our receivables, payables, et cetera, RMI has reduced - that should reduce with the commodity prices down $1.5 billion and very importantly our debt has come down to $29 billion and we believe we’ll continue reducing the net debt level that we would bring it down to $27 billion by the end of the year. We have confidence in the future, as I said capital discipline. We will continue this capital discipline managing the balance sheet, managing our CapEx to ensure we have maximum cash flow, operational efficiencies, we continue pushing operational efficiencies at all our assets and see where we can continue pushing these down and get that extra $400 million. Optionality, we have a lot of optionality in the balance sheet, depending upon what the market is doing, what’s happening on the trading business. So we have this flexibility on the balance sheet and we can do what is necessary as we prove during the first half of the year. We continue with strong discipline to maintain our current credit rating and we managed the balance sheet in that manner to make sure that we achieve those levels and as I said we have sufficient operational - significant operational levers we can pull as and when prices improve and we can let out the balance sheet again and therefore utilize the effect that we have with higher commodity prices going forward. On the sustainability and governance of the company, very important, we treat this as an important part of our business and unfortunately we had eight fatalities up to date. This is by half way through August, also we had 16 fatalities and we continue working very hard in this area and you can see on our LTIFR’s we have reduced considerably down to 1.34 which is a 51% reduction. Key for us and I have always said it, is to focus on the areas where we have these problems, it has been three main areas where the majority of our fatalities occur that is in Zambia, Congo, and Kazakhstan. I’m pleased to say we are really achieving massive success in Kazakhstan and we are trained in all culture of the working environment there. We still have two problem areas and 60% of our fatalities are occurring in the two areas as I say Congo and Zambia and those are the two areas we are working very effectively on to bring those down. So this is very key important for this business. We joined the voluntary principles on security and human rights in late March and as you can see we are members of ICMM and the other organizations. So we continue to push in this area to achieve the results to bring down our fatalities in this area, but as I say two key countries we continue working on. So with that, I will hand over to Steve, who will take you through more details on the balance sheet.
Steven Kalmin: Thanks Ivan. Good morning to those in the room here and those that are dialing in on the call be it evening or early morning if those might be in the U.S. as well that might be dialing in. In terms of the financial side, I think we’ve tried to lay a path in the presentation slide that’s reasonably self-explanatory and clear. It is the sequence of Glencore’s trajectory over the last five or six years, it maybe a revisit of some marketing and some debt assumptions and may be leave a little bit more time for Q&A as we more forwards. Most of the highlight states on this particular slide [indiscernible] in terms of bullet points of course we saw softer general environment around commodity prices. We’ll see a chart later on comparing - a waterfall chart comparing the year-on-year industrial performance clearly impacted by the commodity price environment. Pleasingly CapEx of course coming down naturally of course as the growth project pipeline that has been a three or four year pattern ever since the combination with Xstrata, I think pro forma CapEx from the two if we go back to 12 and 13 was around $13 billion. So you can just see where those numbers have come from those sort of levels and things are standing around production levels and some of the growth in the CapEx that Ivan alluded to is really restricted to a few key areas primarily in copper and zinc and few sort of coal expansions and sort of reserve fees life that we will see as well later on in terms of the expansion of CapEx underpinning the $5 billion. So that number is coming down, it makes the business again more predictable, more manageable, more in control, no particular news around on that because we manage the cash flow trajectory. Clearly an aspect of Glencore that’s more unique than some other pure play industrial and mining companies, oil companies that you may see is that working capital element. The marketing element, where we are showing - this has always been if you like a theoretical sense that there is this big unwind that could potentially happen. There is working capital, there is a natural hedge if you like in a down cycle where this business is going to release working capital, it is going to increase liquidity, it is going to lower leverage ratios. And I think during this particular period is another evidence of that coming through. There was of course the natural release in working capital both in non-RMI and in RMI sense just in the lower price environment be it oil, coal, copper, zinc, et cetera, but we have also been a bit more proactively managing working capital in an environment where clearly there is focus on debt, there is focus on balance sheet. We have always said working capital doesn’t control us, we control it. And this is clearly a period in which to demonstrate that that is the case. And we are still sitting with around $15 billion of net working capital that’s come from about $19 billion down to $15 billion, it’s still a level that would be higher than what we required as a minimum just to maintain our coal franchise in terms of procuring volumes and ultimately shipping and distributing that to various products. So one of our tools is one of our balance sheet options and flexibilities as we move forward there is still scope to reduce working capital a bit further as well. If we take CapEx EBITDA everything paying the final dividend, which was in May of this year, we’re also having paid some higher tax bills, which is a bid of a lag effect. You will higher tax paid cash amount in the first, which is some tax paid in 2015 in respect of 2004 earnings and various JVs and projects that we do. You have got a lag effect on a few higher amounts that both affected FFO, which is where are out and the back for some of those additional cashes, we would have been even higher net reduction. But we would be one of the few companies I think out there in this general natural resource environment to metals commitments, paid its CapEx, paid its dividends, funded interest and tax and still be de-levering at $1 billion during this period and looking forward say there should still be de-levering happening by the end of 2015 and we've set ourselves to a $7 billion target now at the end of 2016 as well. The cash flow coverage ratios, clearly they are just pointing time, but important just to show in terms of at that 29.5 based on rolling 12 months, we are still comfortable in terms of FFO net debt, net debt EBITDA within our targets of greater than 25 and less than three times of course that’s going to be affected by how you see the world looking forward. But part of managing the business around driving down CapEx, driving down costs, looking towards further debt reduction, it’s being geared around maximizing the probability that we’re going to keep under three to one and I’ll talk a little bit about that later on as well. Probably FFO net debt ultimately is a more - it’s how ratio which we would be deem to be the most useful but it’s a bit more complicated in terms of calculation just net debt EBITDA. So I think we’ll talk a little bit about net debt EBITDA both of which are used quite extensively internally and externally as well. If we look - and just towards the - come back to balance sheet. If you talk towards marketing $1.1 billion for the six months Ivan has alluded to the performance generally as well. I think the 29% number itself is somewhat let’s say exaggerated but it’s a little bit higher than it might otherwise have been given the most of this split last year between stronger first half and slightly weaker second half to finish around $2.8 billion, particularly the agricultural side as you can see over there, but across the first half of 2015 those businesses that we would have seen to some having experience some headwinds, some pricing adjustments that need to be reflected. We’re in the mark-to-market world of course in the marketing part of the business that’s not about having a pricing adjustment and in it’s a period of time we or a lag in which you realize that or sort of have that particular headwind. We need to absorb that straight away be it premiums in a aluminum, be it export adjustments exactly we alluded to on the agricultural side. If there is an export tax that’s put in and you have got Russian wheat. You have been sitting in Russian and its due to go to various importing countries in a cash sense or something that’s going to realize over time, but we need to mark-to-market the overall position at that particular point in time and you absorb those losses. All these impacts themselves none of which was individually material, but they all just cumulated to being tens of millions in variety of areas that would - that ultimately delivered a $1.1 billion number that otherwise would have been at least closer or slightly exceeding the midpoint of what would have been historical range of 2.7. So, clearly metal side aluminum and nickel Chinese slowdown begin in the year, tough credit conditions late Chinese New Year, we’ve alluded to some of the conditions that obviously create that. We’re expecting a - now that that’s been observed, because in the mark-to-market world you take it in and you start 1 of July and everything reflects the pricing environment with degrees of conservatism generally that we would generally adopt in our world. So we would experience pick up both in the agricultural side, the metal and mineral side as we look towards second half of 2015. It underpins our confidence around the $2.5 billion to $2.6 billion range for 2015, which we see with a around the marketing business Page 9 still remaining unique low risk defensive earnings driver, we’ll need to clearly deliver that now in the second half year, but we've shown clearly you have got the history going back to 2009 of course there is the range historically its up lift post Xstrata, Viterra. It doesn’t mean that ever single year statically you’re going to be sort of inside the grade sometimes you’re going to be little bit behind 2008 little bit above, last year we were there may be a little bit behind. One point just to make on that range, given its an EBIT range is implicit in that range is a certain assumption around more normal interest rate environment, because clearly this EBIT itself which is then, recovering your cost of finance and your working capital, so you are starting at EBIT you then go to interest to get to your profit before taxes. Well we’ve been an extremely accommodative near zero interest rate environment, which you can see through our numbers, you can see through anyone’s numbers as well. So although EBIT is sort of what it is at $2.5 million to $2.6 million, if you take off the lower interest compared to both past and future, and you look that also over a smaller balance sheet around the release of capital, the RREs in this business even they are compared to maybe being a bit higher on a bigger working capital base and or a high interest rate environment is certainly a very attractive business and you should know that’s diminishing in terms of its overall returns. We are still looking at maybe a long-term guidance 2.7 million to 3.7 million. Some of the main features of the cash generative positive attributes of that business is its minimal fixed asset CapEx required, its working capital we’ve been through that quite a bit as well. Generally a low effective tax rate, we guide to about 10% on that particular business, and of itself depending where you are in that range significantly underpins our base cash distribution at the moment [indiscernible] will be 18 on an annualized basis, which is about $2.25 billion of annual cash flow. Working capital as we approved itself in terms of that balance sheet hedge is inversely correlated, it doesn’t show those cash flows are insulated in these exact period when you want to be generating that extra liquidity and looking towards balance sheet contraction and looking to contain our credit metrics within a narrow range that would otherwise be the case. In terms of the industrial part of the business of course, processing environment was fairly brutal in many commodities from the start of the year to June. We have seen price reductions up to 40% in some commodities be it oil for us, mold exposure there, iron ore 40 something percent not, no exposure there. So our key commodity is copper down 17% on average, and then on the coal business, sort of 15% to 20% depending which grade, quality and function we are talking about as well. So the hit is overall 29% EBITDA on the industrial part of business, the big impact just given our overall scale and size of cleaning copper, a nickel a little bit as well as zinc earnings generally flat around production, gross zinc price less effected as well. You’ve also got byproduct price reductions where we’ve got quite significant silver and gold, which also saw price reductions coming out of many of our businesses as well. So we talk about prices clearly being the overall affect, provisional pricing is something which is a feature where you have a sharper price correction over a shorter period of time as you sort of calculate final pricing. The look back is more aggressive in those sort of structures, particularly in copper to lesser extent maybe nickel and zinc, we would have had some of that affect our business and we’ll talk about not necessarily when we talk that making up in Q&A, but we’ve some slides later on [indiscernible] itself as a public company I think host the call last week there is a lot more information out there was something we’ve got some slower ramp up over there. I think we got the solutions in place there and [indiscernible] is bit all over the place at the moment as they approach end of life in terms of grades and volatility and alike. But that was a well flag at our Investor Day last year in terms of copper. The effect on the energy side was more muted having had pretty low base to begin with. So notwithstanding 15% to 20% price reductions, the effect on coal was only down 14% given the base itself and just given the general cost reduction that we've seen across our own base due to efficiencies, due to currencies, due to oil price reductions, et cetera, et cetera. So, if we look at a slide over there, looking at the EBITDA level, which of course is everyone’s focus as opposed to EBIT and net income, it’s all about cash flow generation and quality and margins, if you like, we did see a 29% contraction industrial EBITDA - EBITDA $4.82 million to $3.4 billion. The biggest pricing of course on the bigger sensitivity on the pricing side, $900 of that $2.3 billion was in energy, $600 coal, and about $300 in oil, and the metals $1.4 billion bringing up the balance there which copper you would expect would have been the biggest. We’ve shown some sensitivity historically around a 10% movement in copper being sort of $1 billion or $1.2 billion. So 14% for six months, that was price [indiscernible] about $800 million of that was just in copper of course I mean and nickel in the likes as well, this is an area that we get back we like the number to be high and clearly over time with, we have been reporting this growth quite a few years now, so yet to see when some point we get to turn the corner and any other direction. It is sort of when and how, it has to happen some point in time 42% you got currency depreciation, you got inflation those two can work often - high that is 2% inflation across our overall industrial base, some is zero but you go to certain high inflation environments be it in Argentina, South Africa, Kazakhstan little bit as well, you saw some of that come through but then you see quite big depreciations coming through those particular currencies either immediately or they can potentially be a lag effect that is a $400 million cost reductions, volume fairly muted during this particular period. It would have been a bit higher part of it was slamming the brakes on in particularly call through the $15 million production cost and that is sort of taking time, it is very consistent that would have had an impact and oil itself could have been higher, there still was oil volume growth but otherwise have even been little bit higher and then you had certain copper and zinc and so that was generally pretty flat. We would see as we look towards both second half and Ivan will talk about the slide later on in terms of our trajectory in terms of unit cost both. So we got some volume growth coming in copper and zinc in particular and then we have got some positive unit cost projections as we look towards second half of 2015 and also full year 2016 it is going to help clearly in volume, it is going to help in cost because there is also $400 million of cost reductions we talk about as well. FX is also something that hasn’t fully worked its way through the system, I mean there were times in the first half even the Australian dollars close to $0.80 and it is now sort of pretty much embedded at $0.72, $0.73 et cetera. So Colombian Peso was over 3000 in the last day or so as well. So that is quite a difference in way things were that we should have positive momentum there obviously that is the big question mark was that degree of price sensitivity that we still going to have going forward but some reasonable obviously some headwinds there is also toe winds as we look at our industrial performance going forward as well. Just looking a little bit more at the balance sheet and some of those graphs, one of the few companies I’m not sure you can pull out two companies out there that actually show that of course there is a bit of movement there but we have actually seen genuine deleveraging and some debt reduction over the last sort of 12 to 18 months, if we look at net debt we were sort of $37 billion or so this time last year that was obviously pretty less time or so. But we have kept on downward 29.6 and we are talking about $27 billion target now at the end of 2016. So positive trajectory there those metrics still within our bands and we are obviously watching that as pretty closely around test generation of this businesses roll as we go forward. We have been quite active during the period as well, a lot of refinancing program for 2005 and 2015 and beyond I mean we tend to be proactive in this area looking towards windows and opportunities this 215 is done, decent chunk of 2016 potentially done as well, we will talk about them as well proactive management around the balance sheet through the RMIs working capitals and overall a $1 billion reduction and the way we see our business at the moment generating cash flow, interest and tax coming down. CapEx coming down, selective growth in assets that we still generating some good margins, cost reductions, it is a business that you would like that to keep going sort of further down at least in terms of shape but it is at least on a trend we are confident that still some deleveraging to go in the business and still continuing to comply with rating structure and covering our place as it currently stands as well. If we look then at little bit more in the balance sheet just to shape it around some of those metrics it is given that in sort of graph before I think it is one that seems to be coming to greater focus now, then various times in the past that area of course is where we currently target the strong BBB, mid BBB space we would be okay clearly being up there as well. That is an okay rating but that is clearly where we target in terms of being at least that one notch above the top of investment grade spectrum clearly as you head closer towards that area, you start being in sort of more of fringe of BBB minus BBB in some of that space. This is not the agency calculations, they do triangulate back and they do different adjustments in debt, but the way we look at our own bands that we think reverses back into some of their methodology and logic that around three to one or 25 plus on the FFO net debt would hold the line there in terms of keeping us within that BBB and of course things were moving up. Now the leverage is coming down, cash flow is also falling accordingly and your ratios of course are now and I’ll starting sort of drip. So the key if we look at those things is to ensure some sort of bottoming out there and stability in a particular ratio, which we’ll talk about later on this call. So we do have material additional balance sheet flexibility to reinforce that target rating and we’ll talk a little bit about that later on. What we have been specific and trying to shape the people’s understanding and discussions is to talk now about a debt target $27 billion at the end of 2016 now the debt target is not normally something that we would necessarily put out there in perpetuity. I think it’s more looking at the next sort of shaping the current environment that we’re in because of course net debt is fine as absolute, but you got to look at the where the business is in terms of its growth, its structure, is it shrinking, is it growing whatever the case may be. What is its ratio is down there, but we think it is appropriate at that particular pointing time so we will focus on that. And a $27 billion we looking at sort of cemetery around being able to manage this business or to seek with the high degree of probability that we’re going to stay below the three times net debt EBITDA. So everyone can do the 27 divided by three getting nine sort of math that’s fairly straightforward around that sort of the math. So that’s where we would sort of anchor in some of those projections, reflecting current scenarios mark-to-market additional flexibility that we do have in the business and looking to obviously manage. Now that’s still $29.4, $29.5 we saw $27 billion as where we looking at getting there we’re not selling assets, we are not looking at the dividends, these are all very sort of straightforward natural de-leveraging that’s happening in the business and looking to exploit some of the other tools that we have we’ve got $15 billion of working capital explain in the business. We got $4 billion to $4.5 billion of these long-term loans and structured finance various things that amortizing this [indiscernible]. There is hundreds of millions of dollars over a sort of a two year profile that does, its naturally recycle and refinance and whatever the case maybe that we would look to trying and bring some of that home and then how much of that gets redeployed or do we just let that the same way that a banks would just sort of look towards reduce its RWAs or its loan portfolio whatever the case maybe. We also have some of that sitting on our balance sheet of which there is no current debt offset. As soon as you bring those down that’s going to go straight towards de-leveraging and the likes as well. So that’s that further opportunities around working capital long term loans is, there is no financial covenants, modest near-term maturities, you can all look on your terminals, you can see what debt comes due, when it comes due, in fact some of the debt coming due in the next 12 to 18 months is actually expensive debt anyway. So even you want to refinance today spot pricing would probably bring your average - it wouldn’t increase your average pricing necessarily out. We've got some 7% coupon stuff, we've got 6.5 this is all funding that amount to be done 10 years ago, 30 years ago whatever the case may be. So there is a lot of that stuff that will obviously maturing $10.5 billion in the available liquidity at the moment. And we’ll also - around that portfolio, we’ll also sort of keep managing around the edges in terms of non-core assets and sale of assets, releasing capital that way that just doesn’t fit into Greenfields and or other geographical territories. You saw the $300 million or so in disposal that we announced the day in respect of [indiscernible] that all contribute as well towards that net debt reduction. So that CapEx I think Ivan spoke to that quite a bit as well, we are not unique in the sector in terms of sort of moving to look to manage down CapEx to sustaining levels and really prioritizing the key expansion projects either because they still continue to deliver returns or you sort of too far gone in some of these projects that at some point you just have to complete it and that’s the best economics that you’re going to get. So relative to some numbers where your amount had been a week ago from 15%, 24% down there to $6 billion from $6.8 was the higher end of the range which we gave earlier this year and Ivan mentioned $5 billion ceiling now 2016 as well with certain scope still to bring that little bit low as well, which you mentioned as well. So the CapEx has been achieved across the board, , there is deflationary cost pressures around contracting tension and rates and fees and currencies, and fuel costs, that works right to system fees, seeing a natural flow through of that sometimes the lag effect of that. And of course looking towards project deferrals and cancelations where that currently make sense either from the risk, the economics, the timing whatever the cash relieved. There are still things that make sense within this company. Good projects, high return projects, we are going to push ahead with some of those by clearly the economic environment has definitely changed in the last two of 18 month. So that’s just some of the flow chart, 6.6. So we now at 1.6 expansion $3.4 billion of sustaining CapEx against what was a $3.5 billion to $4 billion range. Now in the current environment of cost and currencies that’s our longer term level of sustaining capital as much more than lower threes, than what otherwise would be in the case in the past, and of that $3.4 billion we got about $2.7 billion in the metals and 50 in the energy side, a little bit of agricultural side as well coming through. We can provide more details of that later on. I think just to a useful flow chart before we sum up ,is looking at a little bit capital allocation priorities we have the sources and uses of cash flow in this business works out and what these numbers is what happen in 2015 and as you project what might happen in 2016 and 2017 and beyond, you can see where we have the - what the shape of the balance sheet and the ratios may look forward and of course funds from operations $3.5 billion was the actual first half, as we look forward we are going to deliver on additional 400 additional cost savings efficiencies within next 12 months, a lot of that is being auctioned, a lot of that is recognized that is a very straight forward target from our perspective. So that’s going to come through industrial little bit even in the marketing overhead as will come through as well as supported with some volume growth and copper zinc and a marketing side of the business that has come in at $1.1 million, that’s expected to both be stronger in second half 2015 and into 2016. All of that is contributing as good [indiscernible] around the maintenance and or increase in that funds from operations as we move forward. Tax of course having also reduced as a measure of funds from operations, $3.2 billion, actual working capital is what levels are they still there, how much is still in the kit if you like $15 billion of it said working capital still quite a chunky balance across various portfolio $4 billion as I mentioned around long-term advances in prepayments those of course areas of focus as we look towards the next 12 to 18 months. That sort of if you like your cash generation, where you are spending the money that was our net CapEx investment disposals that’s coming down as we’ve said so the funding commitment associated with CapEx from second half and into 2016. The other is if you like the bits and pieces but that can be negative, positive that would be if we did some of the smaller disposals [indiscernible] of the world any other smaller things that there is always things in the pipeline, it is the base distribution and that’s what we delivered was $1 billion reduction in net debt all around maintenance around that strong BBB looking towards $27 billion of net debt by the end of 2016 and looking to keep that ratio below three as well. So it’s kind of the shape of how we look at things generally, and in may be just in summing up I think I’ve most of these anyway decisive actions taken to protect, solidify whatever language that we may want to use around the balance sheet, challenging environment, clearly properly positioning the group for these conditions that we experience at the moment, in terms of distribution is fine, consistent with last year reflecting confidence in strings. Ivan will talk a slide later on as he sees the prospects going forward both in terms of industrial business and the continued transformation to a world-class asset business, at least in terms of cost structure and the likes. So around net debt assets we spoke about all those items without focus areas around creating distributions and maintaining a positive free cash flow environment. So with that, I’ll hand back to Ivan and any doubt, lots of questions later on.
Ivan Glasenberg: Thanks, Steve. Okay. So the key earning drivers going forward and how we are positioned with the commodity market says they are and we look at the various commodities in which we in and this gives you a good idea of where we are and how we look going forward. Firstly, we continue to believe be in the right commodities, if you look at the commodities we in there is no new big supply coming into the market which is key, we have said demand is getting very tricky to call right now with what we see going on in China but what is important the steps we know about is what is happening on the supply side of various commodities and how are we positioned in those commodities. So as I said in copper [indiscernible] always said that the supply is not big as people anticipated, the numbers never tied up, the big supply that was coming in the market, if we now look what has happened in 2015 is being pretty correct, the new supply that was going to come from Zambia is not happening, the supply coming from Peru is not happening, Chile et cetera and people are struggling are meet their forecast. So the supply is not happening as people anticipated whether we got oversupply, anti supply all depends on demand in China and that is the one that we are all struggling to read what is going on in China. But one thing is for sure, in copper the supply is not happening as the way people envisage. The good thing about us on the copper side and as we have indicated here I see Yuan cost coming down as we spend on various operations in Katanga, Mutanda and Botany get going with the new thought process as we have in place during 2015, we see our copper cost at 42 going down in 2016 down to 138. The big part of that is Katanga not that we have decided that we are going to lease the materially at the plant at the Katanga operation - so far said size, we now approve the project, the project is already in place and it will come into action with production there early 2017, late 2016 and that was definitely pushed on our cost and therefore we will also get additional production, we say during the second half of this year, we have given the range but we should increase 38 to 88,000 tons of copper production in those operations. So looking very good, definitely lowest quartile, some of our operations we believe lowest or second lowest cost producers in the world, we have high grades of copper in the Congo, the highest grades of copper, so we will always be competitive in those areas. So the zinc side, once again we all know the supply of zinc is very tight, we have two major operations shutting down Century and [indiscernible] this year, so therefore once again no new supply, we are the only increasing because we got McArthur River coming into production increasing its production and therefore we are growing additional 59 to 109,000 tons in the second half of the year versus the first half of the year and as you see our cost is coming down, we going from $0.55 down to $0.45 in 2016 also making us the leading low cost producer of zinc in the world. So these assets once again also first quartile assets. Coal - supply, no new supply really coming in the world except in China we all know that China’s imports have decreased considerably going from 200 million tons going potentially down to 130 million tons this year and that has caused a bit of pressure but the good thing about coal that has happened is we have less supply in Indonesia and Indonesia’s exports have reduced considerably from 425 I think around about to 360, 370 this year. However good with our side we produced higher quality coal, we produced the better product, we are not competing with the lower quality coming from Indonesia but our costs have come down, we are in the lowest quartile in the coal side, $44 in 2015, we believe if currency stands they are today, in 2016 we will drop our production cost down to $40. So if you look at all our commodities we talk about nickel there, I see one cost right now down to 310 dropping slightly next year down to $3. Koniambo is still problematic asset but we got to share on the problem, we are building Lion I, we are rebuilding the furnaces the slides on it, giving the details of it, can we control them in more detail about it if we need more detail but the important thing is we got to grip what was the problem with the furnaces. Lion I is being rebuilt, Lion I will come into operation towards the end of this year, Lion II we will decide what we do with it when we share run it on and whether we do rebuild it and when we rebuild it and then we will look at [Marcus] are doing and see how well Lion I is running with the changes to the furnaces. So we got something there, we can be cautious how we expand that operation and when we take it to 50,000 tons and what we do but the good thing if you look at our array of commodities those ones all lowest quartile. First quarter in our cost structure, the margins are still good there and even at current commodity prices we still generate good free cash flow and we have good mortgage margins going forward. So we are really would believe with the nice position and as I said before the commodities we have and even these commodities there is no new big supply coming into the market. We can all make assessment on debt but one thing we do know is what is happening with supply. On the marketing I think we spoken about this one, we have gone through the details we continue our long-term target we will still be between 2.7 to 3.7 going forward in this year. The figures based on our various commodities so once again we believe there is an key earning drive of Glencore and is not sensitive as is not linear to commodity price than we can so we have good results even in low price commodity environment. So overall, our priorities I think Steve given enough detail on at how important capital, discipline is in this company to maximize free cash flow generation, we have controls, we have de-leavers on our working capital. We have the de-leavers on our CapEx we know what we got to do, operating efficiency we continue pushing as the previous slide say to be lowest quarter all to push across down and get efficiencies that are available. Steve emphasis important to for us to maintain BBB rating, important to remain investment grade, not dropping one, now as we going to understand on governance in place even if we do drop one not is not high cost to the company but we don’t wish to go there, but we can control lot of those things. Deliver volumes for the remaining projects that we have I’ve discussed with Katanga included we know what we are doing Katanga to get it those 300,000 metrics tons to 9300,000 metric tons production. We have the solutions we will get there and by early 2017 when the leaching comes into place we reach it make all the [indiscernible] ramping up nicely, the efficiencies we problems we had before we overtimes so that is working well and as I said Koniambo but we know exactly what we got do this. So we don’t have any problems in any of our productions, we know what we got today so pretty simple going forward. Once again, in our sustainability continues improvement we know our problems can treats we know what we are going to do, we changing the color as I say in Zambia and the Congo that’s we a large amount of our fertilities are occurring. We are working on that. We are doing a good job and we will continue to bring it done and that’s an important part of us of the company going forward. So I think that keeps you the scenario of the company and I think we open for questions. Carl?
A - Paul Smith: Okay, Ash.
Ashleigh Lazenby: Thanks. Ashleigh from HSBC. First question just turn about slide 13 in terms of the illustrative target metrics. Is it correct to read that slide that BBB minus so that the last sort of part of investment grade is 3.25 sort of the actual limit for running those scenarios in order to maintain that the investment grade. And then secondly, just in terms of assets and if you are seen few guys because in three pole back in 2018 times of down periods curtailed some assets in the short-term in order to bring in terms of the more high cost assets which gave them some short-term relief and any other obvious places within your asset portfolio where you could also let to do that as well beyond just the $400 million cost saving that could maybe push those cash gross down even later in the short-term and ultimately there is those assets which are more at the pinch point a day in terms of free cash flow that could actually give you a little bit more head dream as well. Thank you.
Ivan Glasenberg: Ashleigh, thanks. In terms of the first question, we would need to I mean we haven’t contemplated that scenario that’s not a cut off it’s just sort of cut off really in advance so it would be, I mean if you look at the size of that BBB band you can see just in size this is obviously a much [indiscernible] range then just sort of narrow, sort of blue way just so we haven’t try to work it sort of upward down and if this earlier around what it could main at say BB plus and sort of single A so I read it is anything other than destroying partial line in that particular graph.
Steven Kalmin: And then on the asset side you say cutting production as certain assets which are marginally rate, we did in call, we will do as a company within as a margin and that’ll making margins and will obvious sell them as we did sell Condo because in production a was on we can maintain but there is no reason for us to hold us assets but trying assets that are generating cash flow we just doing at the process, we are going to the process on the [indiscernible] on the platinum side, 100% this company will continue. We analyze all ISS, all the time, that’s not generating cash, we put on care and maintenance. It’s in the ground the stuff is in the ground will bring it on take the right time. There is no reason that we got to be producing and keep the production floor volumes the same, as it’s on producing we showed hitting coal I think we are down 15 million to 18 million tons of coal production this year as against what we are supposed to be. Because it just didn’t make economic sense.
Paul Smith: Menno.
Menno G. Sanderse: Yes. Good morning. It’s Menno at Morgan Stanley. The first question is regarding a statement, companies making own page three where you say markets appear increasingly driven by perception and technical factors rather than reality and fundamentals. Now given the benefit of Glencore in terms of at least we are going to experience in commodities. Can you may be help us going back before 2000s and what period would you compare it will that we are in now and how long can this disconnect last in your experience since 1970s and what actions do you take in marketing back then and can you take the same actions right now. This is the first one. And secondly, you always said working capital is good, and I agree because it allows you to make profit in marketing. So can you make all these reductions in working capital, without effecting your earnings power.
Ivan Glasenberg: Let’s answer the second question first. Can you reduce working capital? There is a way is certain ways you can do it, the way different measures be more efficiently utilizing the working capital to help the trading, you don’t have to pull back on the trading, you just got to be more efficient the way you utilize the working capital. However we can also, we’ve always said the lead we can pull, the low margin business, as you do any way during a good environment, you do it, it’s low margin business and we have got the reserve bank to the trading division. We sit and cost of borrowing to the division. So we can just raise it a bit but we can never look what are effecting of the trading, it’s such a small amount of the trading because the traders might do certain trading deals because the cost of capital of borrowing from the company is low, they got a small margin on that they do it. You would pick it up and then, therefore you can reduce working capitals fairly substantially but not affect the trading. So we’ve always play the two against each other. So it’s shouldn’t have an effect.
Steven Kalmin: I would say I mean it’s certainly at the margin there is a cost but I won’t categories it as in materials. Obviously in the environment where it is not the same sort focus if you like on that part of the business, that’s still incremental to the equity side. Now if you sort of making a judgment coal to saying actually what we probably better off giving up a little bit of marginal business just to manage within a certain other structure than sort of so be it. But it’s the more marginal part of the spectrum.
Ivan Glasenberg: And the disconnect between prices against what we see in the market, you guys have the funds, you have the flow of money today taking positions or short in commodity markets, or the perception of China, et cetera so it’s a difficult market to read, but if you have a look at various commodities a lot of it is now making sense, [indiscernible] can’t talk about copper but basically, if you look at the copper inventories around the world and look you look at the price curve, it’s just making sense, we may be seeing comp inventories down at these levels and process because of these levels you normally have a much higher copper price. So it’s not what we see happening in the market, the fundamentals are we see in real demand in supply in the physical movement and the amount of tons that are moving around the world is the prices are not really indicating that. So there is, the flow of funds is pushing it into particular direction wrongly or rightly. Now how do we trade on that always we don’t trade much on the flat price, so we are not taking on this one left. We mainly trade the premiums et cetera. But, yes, premiums also came off and if we talk aluminum and lot of the premium came off because of the exports of the Chinese metal into the market. Something did you anticipate, don’t you anticipate so that sort of affects you bit on the trading side.
Menno G. Sanderse: And if you give me a one homework task to go back in history, what year would you tell me to go back in history to when I go back.
Ivan Glasenberg: Any guys, who got idea what year we should go back to.
Steven Kalmin: 98.
Ivan Glasenberg: Yes, 2003 was a big one. 2003 was a big one, I mean the world was bearish in 2003 and then suddenly the big kicker came. But we had weak commodity prices within two, three months, I mean the market turned, and eventually China coming and then suddenly people believe China was there and the world to go from 2003 to 2008, yes, I think that’s a good example.
Paul Smith: Rob.
Rob Clifford: Thanks. Rob Clifford, Deutsche Bank. Just simple questions. Normal guidance around marketing is a billion dollar range, how can you be comfortable with reducing that range to just $100 million in the second half, it seems you’ve got significant confidence about that delivery in this half.
Steven Kalmin: I think I mean even now I mean our range of sort of 27, 28 is trying to cater for 20 years. So that sort of is going to stay over 20 year period, you are going to have lower prices of cycles, you get higher cycles, you get inventory, you are going to do, when you trying to sort of project we are much set of shorter cycle, we know where we are the moment, you can look at the last sort of two or three years, we would say we would have been at the bottom end of that range. So we could have quite easily have said 27, 37 long term but in the current environment we have of course sort of inventories premiums, macroeconomic China whatever you say more in the bottom half. So already we noted down to say 500 range, if you said the bottom half. Now we have already got through six months of the year, we have already got through July already kind of know what is being this half of business that - shorter cycles are takes away degrees of standard deviation in that range.
Ivan Glasenberg: It is what Steve says, not in a billion range, we know if these commodity side and the way commodities are there is not tightness in the market, premiums are not sitting at lesser levels, there is not big arbitrage definitely done towards the low end. So we are not playing with the billion dollar range, 2.7 and we say now 1.1 first off, we have got pretty good idea, July, August, so we have got an idea we know mark-to-markets, so we got - we are not playing within a mess of range.
Steven Kalmin: I mean you would need to say a very different environment for us to be say near the 3.7 part of that range, which we had been in the past that 2007, 2008 sort of upturn cycle that tell us sort of talking and we have hit above that level of 2007 and 2008 and which effect we hated, we are not going to say we are never going to hit it again so that sort of remains the top end of the range.
Paul Smith: Allsop.
Myles Allsop: Myles Allsop, UBS. Couple of questions how do you assuming there was - it goes up $2. How would you prioritize the BBB rating versus the dividend, would we expect the dividend to be cut to preserve a BBB flat or would you allow it to slip to BBB minus and would you consider asset sales of what seem to be core assets like some of your competitors are doing and then could you just try and quantify little bit more just to give us confidence on the second half and what the impact of the aluminum premier was, what the nickel hit was in the first half assuming these kind of one off type events which gives us visibility on second half earnings?
Steven Kalmin: Okay. This is Steve. Firstly just on the [indiscernible] we would take the rating and the dividend, core assets always core - as our competitor done, I haven’t seen our competitors selling core assets yet. There is peripheral assets are bit like what we have done. We sell for condo, sell Tampakan, we sold those are kind of stuff which we knew peripheral assets, Greenfield is definitely, Tampakan we are not going to develop - set us someone who may or may not develop it. Then I think our competitors are doing similar. I haven’t seen anyone else that cool as us yet.
Ivan Glasenberg: Nobel and [indiscernible].
Steven Kalmin: Okay. Noble the mining companies, I haven’t seen mining companies sell core assets.
Steven Kalmin: Yes at least them on the market but that tend to pull the trigger in this they can do.
Ivan Glasenberg: Real core asset, we didn’t have done it, I don’t believe we would have to do it unless you really give us doomsday scenario but in doomsday scenario who knows you would be buying those core assets. Steve you can answer bit on those against…
Steven Kalmin: I mean I would say we are not - I mean you talked about I think you used the word sort of doomsday where prices of copper whatever the case maybe, I mean obviously in the world of we will cross bridges and we would come to it, many of us are sitting here, we have got the interim dividend here, the final dividend of the function of what the world looks like in January, February next year, which is sort of six months away, what our second half performance looks like. We are making appropriate set of call at the time taking everything into account around. I mean our taking order has been credit rating targets, dividends, M&A CapEx, I mean there is still levels to prove, quite significant ones before. I mean you start getting copper down to certain levels, you are going to see lot of production cuts as it says and that feeds through the system, it is going to be no copper in sort of 12 months time because there is I mean next time some having ton of copper, they are going to say where is it because people have been forced to cut, so kind of this technical.
Ivan Glasenberg: Whole of it, when you are talking doomsday scenario bringing copper down at $ 2 of something it will be cost that’s basically over the guys producing in U.S. dollar terms they’ll know getting the benefit of the ForEx so, there will be a lot of cash. So, you go down to 4.4 it’s - stay that long.
Steven Kalmin: And [indiscernible] I can deliver, I mean the truth is in January, and in February we had process the more reality I mean honestly both side of if would say and it clearly we didn’t perform through the first quarter. Second quarter if in normalize and should be not we can’t believe that Nickel was down here at [indiscernible] we can talk about cost 10, 4 and cost of productions, may let to [indiscernible] on the water. So, the more what you see now when we look at the Chinese imports that through the second quarter when the situation did start to normalize and we started to see a reemergence of growth in that market we choose critical for Nickel I mean the reality is this whether we get to supply side cuts we get the more in pickup we got both fairly you’d expect the second half to be much better in the first half and the second quarter was much better than the first quarter.
Ivan Glasenberg: The margin just in terms I think the reality was sort of trying to quantify where we spoke about weaker China Aluminum, Nickel may be oscillating there is on the metal side you talking about the couple $100 million there and may be 100 on the right side so sort of a across those two there sort of 300 debt explains sort of 1.1 to sort of 1.4 bridge if would like.
Myles Allsop: Well that is mine - it was actually in premium [indiscernible] question in Aluminum as you said in premise drop
Steven Kalmin: Combined.
Paul Smith: Liam.
Liam Fitzpatrick: Good morning guys. Liam Fitzpatrick from Credit Suisse. Two questions on marketing first of all on Ag. I think sort of year you said much more stable business pay $100 million to $ 1 billion what’s going wrong there in and what’s the guidance going forward from here and then secondly Steve you made an interesting comment that there 2.7 to 3.7 includes in normalization in interest rates, can you say what that normalize interest rate is and what sort of EBIT uplift that was do in the business over the medium term.
Ivan Glasenberg: I mean that is Chris, you want to answer that one.
Christopher Mahoney: The Ag’s was the combination of four, five things export tax in Russia which was imposed in February and was one of and we didn’t anticipated and that ones in all material for the hole of Glencore within the Ag’s it was significant. Canada was not as good as previous year margins were down and volumes were down because of the smaller crop not only the smaller crop in September 14 but also the crop, the smaller crop that will be harvested right now in Canada, which is down substantially. Bio-diesel of course was hammed by the declining energy prices both in the EU and particularly in Argentina, Argentina was less protected by mandates, it’s actually crushing in Europe which was an expected and that in part was because of the Bio-diesel. And milling both rice milling in South America and particularly wheat milling in Brazil because of the economic situation in Brazil was worse than we anticipated so really it was a combination of five or six things all coming together at the same time.
Liam Fitzpatrick: For the second half and your forecast for the year is still the stable business within the range that we anticipated.
Christopher Mahoney: Yes, the second half, which I think, you know a number of those factors the Russian export tax rates are example we will not be there and so, I think the second half, when we expected to be...
Liam Fitzpatrick: The sustainable as we say this is a sustainable business we have still be within in that range of sustainability over the year we have made
Christopher Mahoney: I mean I think it depends if you are calling the sustainable range of billion plus that may be a bit of strange but its bit wise first half of was 307 and number of those factors that I mentioned will not be there in the second half that the Ag’s business has not the demand what was that we have seen in China, we have not had that in the Ag’s business at all in frank in July. Chinese import Soybeans for a record. We have had a lower price as well of course in Ag’s. We had bit of spike in June but in the period of March, April, May we had the lowest prices we’ve seen since the crisis. And that crimps the procurement business a bit but I think the Ag’s business a good part of Ag’s earnings come from handling and crushing as opposed to trading. And we see no change there going forward and pretty good demand growth as I say.
Steven Kalmin: I mean that 1.2 I think, that you mentioned was obviously a very strong sort of last year I think we’ve more been the $800 to $1 billion sort of range around the Ag’s.
Ivan Glasenberg: And we still feel comfortable within that range.
Steven Kalmin: Liam, just on that interest rate environment if we assume say now it’s again that sort of back to the point they are on that [indiscernible] staying I mean I will just obviously a certain range you know trying to make it call on the interest environmental we know is that a pretty accommodative and pretty low at the moment. So if we take a - I mean I don’t know where normal necessarily is and I think to me no where normal but if we start pretty much at zero and we even look at the sensitivity of 72% on $15 billion, that’s next for $300 million sort of annualized that would add to your marketing interest expense you would recover that because that would be the interest environment sort of all the data sale and to sort of each and every day. We are going out there and some procuring product and selling and looking at terms you would look towards sort of a three month sort of dollar floater type liable sort of environment which we are obviously very low at the moment. So I mean that shows you get $300 sort of I mean just on interest rate alone at 2%, 2 to 300 pickup in EBIT performance, this doesn’t help you, cash flow necessarily out of profit off the tax but that’s what that sort of maybe degree of sensitivity can be a virtue of interest rate line.
Liam Fitzpatrick: Thanks.
Jason Fairclough: Jason Fairclough from Merrill Lynch. Sorry Steven.
Steven Kalmin: No, no. Good to hear.
Jason Fairclough: Two questions I guess. One just on carrying values and the other one coming back to this credit rating angle. So you have taken the right down in oil, I’m wondering are there other assets that you look at in the water portfolio, you think that our at risk fields of having that carrying value talking down in particular I guess something of coal and nickel. And then second just on credit metrics and the credit rating what would be the metrics look like on $4,000 copper and are you saying that you are comfortable getting downgraded one notch from here.
Ivan Glasenberg: Yes. I mean I found to be about right as of course where are looking at it, coal do we think we need right as we don’t think so at this environment, we’ve seen our cost of production and where we still have decent margins, now okay, where does coals prices go by the end of the year where do we forecast going forward. Let’s wait and see what happens but right now as you can see margins are pretty good. Nickel of course, [indiscernible] is something we got to look at, the only time to look at it and analyze exactly the outcome of [indiscernible] at the end of the year when we got line one up and running and we see exactly what’s happening on line one. And then what we do with line two and then we go to assess it and see what we do with it, as you know we’ve taken substantial right downs on [indiscernible] already on the acquisition of its Xstrata at the time we took a deal right down there and if we go to take something else we will see at the end of year also not a nickel process doing by the end of year.
Steven Kalmin: I mean that’s the only [indiscernible] watching brief clearly what we sort of see what cost structure and maintenance from a schedule look like and on the coal side, I’d say generally pretty good across our business in terms of cost structure, the only one again which is sort of going through a process we will need to see how that finish our business is incremental here in South Africa given.
Ivan Glasenberg: [Indiscernible] just this situation that we have right now with the business ratio with [indiscernible] and then we’ll see where that ends up.
Steven Kalmin: And on, I mean the credit metrics, we’ve always said, I mean also around credit ratings and the like we said, we wouldn’t do anything that could knowingly sort of jeopardize the rating we’ve never said that’s impossible that ratings aren’t going to get adjusted due to external factors or some other things I mean that’s would be a obviously an external event, we will need to see what the numbers look like in terms of our business. We will do what we can proactively to manage in terms of further reductions in working capital, potentially spoke earlier on about certain care and maintenance ourselves, I think the whole industry is going to be certainly very proactive around conservation cash and taking units out of the market with that sort of price that you talk about ourselves, I blended average which we spoke about but of course you have peripheral [indiscernible] at little great operation something over there that you would look in that sort of environment. But you’d also need to sort of understand why is it there, what is the sustainability, just another sort of is the chapter one or two and chapter and just bring some perspective sort of around what is sort of long-term positive picture particularly in copper which is one of these things and people at great company - sort of August 18, 2015 they write cross face over 3, 5, 10 year cycle they have their own views. They also try and just bring it bit calm to the equation get some perspective of where things are heading let’s understand what is going on here, what are we missing and so I don’t see kneejerk reactions with all be calm and have some perspective around.
Dominic O'Kane: Hi Dominic O'Kane, JPMorgan and two quick questions on working capital. So during the first half a big release of working capital, I think of that about $2.1 billion was an increase in payables, so you maybe indicate whether that would bring us in the second half of 2016 or can you continue running that, that level of payables going forward and then secondly on CapEx guidance there is some big cuts to the CapEx for this year and next year, could you maybe give us some indication on whether we should anticipate changes to production guidance for 2016, can you run lower CapEx with no impacts on volumes. Thanks.
Ivan Glasenberg: The first one the CapEx will have no effect on the volume, what we have done on the CapEx [indiscernible] we have reduced it and that is what we affect, we are not going to do any development in China at the moment at current oil prices, so it will affect the volume but the way we have done in CapEx it doesn’t affect the copper but we are still going ahead with the Katanga operations, we are still going ahead with Mopani. So no big - coal expansions those numbers show what we those even with that pullback it will still keep the coal where it is. If we then decide to cut back further on coal if - remained we could always do that and then we will even take the CapEx further but the numbers we are talking to around about 4.75 whatever is without the big reduction in volumes.
Steven Kalmin: Just on that first point I mean we would look to see I mean obviously in working capital from time to time, you can have movements in inventory, movements in receivables, movements in payables et cetera, it is a fluent situation as we move from sort of quarter-to-quarter with the working capital that is in recycles and average turns over every 30, 35 days or so. So it happen to be I mean rather than talk about specific components were $15 billion working capital basis the payables and the mark-to-market positions in $34 billion of payables and $49 billion of assets across all those sort of compositions but down to net number of the $15 billion. That is fully sustainable to run the business at that sort of level and in fact could be brought down if That sustained appropriate.
Paul Smith: Sylvain?
Sylvain Brunet: Good morning, Sylvain Brunet with Exane BNP Paribas. Maybe on question on cost measures if you could give us some indication of which divisions benefit from the $392 million you reported in the first half and where you would see more low hanging fruits going to the second half and whether that number was real fundamental, second question on cash within the group, how you maybe manage the cash between subsidiaries and the central functions there are couple of questions in the markets on how quickly you could pull the cash when you needed and lastly if you could give us just rough indication of the nature of the buyers of your Tampakan [indiscernible] projects please, thank you.
Steven Kalmin: Okay. Just in terms of the $392 million quite a bit of that was in coal through cost reduction there, quite a bit in South Africa in fact particularly with the - complex being commissioned early in 2000 and well during the course of 2014, 2015 because that was effectively a replacement for lot of older, smaller, more efficient former Shanduka sort of smaller properties, so the overall volumes or whatever but there has been quite a transformation in terms of cost structure generally at the South African coal business that would have been sort of quite chunky component there in terms of SA coal, you have seen reasonable cost saving comes through sort of the programs that are let me some of that bigger more complex sort of fully integrated mining metallurgical processes where we looked systems and processes and light stood driving down saving [indiscernible] and both are complex servicing both copper and zinc there has been some cost reductions there. There has been a bit of obviously some oil reductions universally as comes through that line but quite a lag effect on sometimes because you’re carrying some inventory so that was an as biggest mode that in the first half that starting to be a big amount. The target going forward in terms of the 400 that’s a real number.
Ivan Glasenberg: As in many areas efficiencies and purchasing efficiencies and reduction of people efficiencies as even continue - expanding the lower cost operations and shutting down the high cost size we can move around as [indiscernible] at different operations around the group.
Sylvain Brunet: And in terms of the Condo and [indiscernible] private equity?
Steven Kalmin: We address in different group.
Ivan Glasenberg: The next question?
Tim Huff: Thanks. Tim Huff from RBC. Hypothetical situation, you’re currently running under $9 billion EBITDA scenario if it were $7 billion EBITDA scenario obviously you’ve got the lot that you can due to control the net debt and keep it coming down but from a metrics perspective you need somewhere between $21 billion, $22 billion of net debt, do you have off the $27 billion target you have incremental $5 billion of working cap flexibility because I know you have $15 billion now and in the past we have seen some pretty low levels but those [indiscernible] do you have that much flexibility to get the balance sheet down over there using as the measures. Thank you.
Steven Kalmin: I think you certainly have a multiple billion dollars across the both loans and working capital if you’re telling me $7 billion sort of run it down in a week style, I’m going to say no it’s not possible, you can always do this over a longer period of time. You got also which this is again putting some perspective around businesses okay whatever - that you may want to sort of want to be running I mean at some point at least obviously dividend is one of the component but just take dividend out of the equation but at this particular pointing time at these levels of EBITDA, I mean interest and tax annual CapEx, year - cash flow positive within this business I don’t know what sort of scenario as you’re running into that but that sort of back to some of the sort of miles, sort of levels enough to be running there an then frankly you’d be looking at lot of companies I mean Glencore going to be amongst ton of companies.
Ivan Glasenberg: We will get cash flows also at the movement we are not increasing - we don’t have to do that if you look at our cash flow. Seven units considered but so many things you can do.
Steven Kalmin: So I think and this is where I think perspective needs to be I mean people do not rate companies for that particular month or that particular day. They look at the quality of the business that look at page 18, those thing you produce in copper and zinc and 40 metrics of ton here, you’re producing in a 150, 160 there you have got good margins, your CapEx is sort of down, your [indiscernible] is quite good, your marketing is hopefully beginning to perform. You are showing some deleveraging over there and I think stakeholders can be confident in the strength of that particular franchise and of course the fact you can still de-lever is it take your credit metric short term because of- just the mathematics of that is going to take you outside of some of those ratios you would do what makes sense to the business with that just doing value and so you will be managing all sorts of things but it’s not I mean when can’t in a world where every country sort of goes back to living in case we got the bought existent and all of that sort of stuff we all be doing adjustments and then do you lose your rating do you go down there. I mean we all doing that sort of environment but it’s a strong platform from which to continue to have equity value to be providing confidence to your debt probably stakeholders that you can service that debt refinance both the debt and you’re trying to manage accordingly and that you not going to do anything down might that. I mean that’s not we feel…
Ivan Glasenberg: We’ve got a lot of tools - working capital as the trading etcetera lot of date is financing the trading, that’s the two you, it’s not like a fixed asset, there is nothing you can do about it is this not producing cash, but trading is a different things, you can bring down the trading, we can use less working capital with many tools we can use. Yes liquidate inventories, getting rid of our yes, there is a lot of stuff you can do.
Steven Kalmin: I mean the peer metrics was it’s a good point that Ivan made, I mean a lot of the time you can conduct your business where you just I mean it’s always been more cheaper and efficient to do on our balance sheet historically we should have hold it through but there is numerous structures in this have unused where, it’s on someone else’s balance sheet effectively and you are paying for like giving you a normal service, you are using your respective skills. So you can still handle and you can do lots of stuff, just put a structure and say we are sitting with the bank, we are sitting with the counterparts, sitting with XYZ.
Ivan Glasenberg: Good thing about our business you keep saying, if you take to doomsday scenario, a large amount of idea is financing the trading business, different to people who are just into your mining. So I did looks like they fear but it can be worked on by playing around in the trading side of the business.
Christopher Mahoney: Which would have a I mean, [indiscernible] would have an immaterial effect on your $7 billion at that point but it would be material in terms of being able to sort of reduce leverage down whatever billion that you think is appropriate to that particular point in time. So that could short term restore some metrics dividend in a certain level, it’s not metal piece, this long term optimal but yes, I mean there is those tools, there is those levels that we can plan which on part of what we can do during this period and you respond to conditions as we go forward.
Paul Smith: [Heath] (Ph) in the back
Unidentified Analyst: Good morning. It’s Heath Johnson here from Citi. You talk obviously are most down by $1.5 billion in the half, and you still talking about the debt positions in marketing, is there sort of a minimal number that we should be thinking about in terms of what you could bring that down I mean obviously in the working capital side, you said $15 billion was still above what you thought the minimal number was. And clearly what impact would that have in terms of your marketing EBIT assuming that you drop that down further than obviously you will sort of range with $2.5 million to $2.6 million would probably come down, and assuming to I guess get annual guidance range of $2.7 million to $3.7 million, you have to actually take that. And then just the second question, just on Koniambo and Katanga if we can get perhaps an update from [indiscernible] assets given some slides on the pack. Thanks.
Steven Kalmin: I mean I would think in terms of your networking capital, $15 billion you’d be able to manage with say $5 billion plus so certainly you will sort of call franchise if we were sort of smart about working through the entire system, you would be able to do that, now that would be a obviously some sort of impact in terms of that marginal contribution that that’s sort of brining to the business but compared to the benefit if you like, if that was felt appropriate at that time to sort of bring home $5 billion, it will be drowned out in terms of the sort of ratio of those particular components but I think you would, I don’t know drop $50 million to $100 million maybe.
Ivan Glasenberg: Pretty much, there is a lot of fund as I said earlier in the previous question is being utilized because we don’t give a high cost of borrowing to the department. So they do the business, it doesn’t bring much but their cost of borrowing is low. Pickup that cost of borrowing we did after the 2008 crisis, we lifted the cost of borrowing to the departments, it didn’t bring down the trading profit that much because their margin of business doesn’t give that much. And it’s using a lot of working capital. And if they got sufficient working capital I mean not under stress why not use it doesn’t affect us but when you are under pressure, you pull it back. Katanga Telis.
Aristotelis Mistakidis: On Katanga what we did is when we - we kept the same flow sheet as was originally that was a same method of pollution [indiscernible] has had, which was to float oxides, not people that normally do that but that was what was in the flow sheet and we decided to refurbish the plant and to comparing with that. Now what we found was that the floating of block sides, the yield or recoveries are much lower than it is on sulfides and as much as lower than it is when you are reaching them. But nevertheless we thought we would run with that, that’s what are looking for and we would run with in. Now what we’ve seen is extremely sensitive [indiscernible] the resonance time of outsize in the sales is much longer than sell. Now if you get - or any trip you lose copper goes down and you lose production for four hours even say one-minute trip cost you four hours and we have time for three trips today, so you will lose 12 hours of production. So that copper you just lose really it goes. So what we had is recoveries around 55% range as opposed to what we thought would be around 65%, 70% range. So what we started to do is basically just do a copy, paste of what we have in the ton, which is to leash the oxides. We know it works the same and it is exactly the same process that we have in the condo, which worked perfectly. Now what that does is it requires a certain amount of capital expenditure upfront, which you didn’t have, so it is about $200 million additional capital expenditures for next year, which isn’t the number that Steve and Ivan gave. But what it does is it reduces the amount of copper in mine. The production numbers in Katanga you have seen we declared copper, we don’t declare copper in ore mine, copper in mine is very high but what this will allow us to do is it will allow us to mine 25% less than we are doing today. So you have an additional $100 million more in CapEx but you have got about $500 million OpEx savings in that period. Well in hindsight we should have put this in action before, we didn’t, we just didn’t realized the effects it would have in terms of production and as we have said this should come in at the end of 2016, beginning of 2017. So I mean we are confident of the works that we have done just on the road. Those who had been in Mutanda have seen this, it will be just copy paste of that.
Peter Carl Freyberg: And on Koniambo and I think quite a few people here were in September and if we refer to slide 32, 33 and 34 this is one of the DC furnaces I think that tells everybody what was open about here in terms of scale of these units it didn’t make [indiscernible] today we have one of these furnaces running that is basically DCF 2 and DCF 2 is running quite well, we are doing between 1000 and 1500 tons per month currently. DCF 1 is being rebuilt however we are not rebuilding exactly the same furnaces we currently have basically operating, we have incorporated some design modifications into that furnace and effectively as a result of the forensic analysis that we did poster run out in December 2014 without getting into the details and literally the technical team have been working on these for months, we effectively had furnished phenomenon called furnace creep apparent in half and effectively creep you got temperature which is too hot and you have got too much load in the furnace. We choose the cooling on the half incorporating the - into the design and we are dropping the load from 1200 tons on the [indiscernible] to something less than 1200 tons which we believe will basically solve this issue further more and more importantly we have had purchase issues in terms of how we operate. To date we had problems operating the furnace as per design in an active mode and we being operating using rush mode and effectively that transfers more heat to the metal pass and design over the past six weeks, work has been ongoing to furnace it is fair to say now that the furnace is operating in active mode and we are seeing basically slightly form in the base and [indiscernible] will protect the furnace on the go forward basis. When furnace 1 comes online basically in December, first metal basically tap back end of this year, very early in 2016, we will make a decision around DCF 2 and whether we continue to operate or whether we take DCF 2 down, one thing is absolutely certain DCF 2 needs rebuilding and the plan today is to incorporate design modification were incorporated in the furnace 1 into the rebuild of furnace 2. Quite clearly in a 10,400 buck environment with a market challenged basically and we want to see basically deficits emerging on nickel space, we won’t be rushing back 25,000 to 30,000 tons of additional capacity into the market space unless it makes sense. And I would add one thing the big advantage as well that we tend to get operating one line versus two, clearly we would chase denominator oil tonnage is very hard when we took over Xstrata basically in 2013. And back in the last year through basically the first month this year when we realized we had the issue around basically well the furnaces we have clearly done a lot of work around resizing the business for one line operation and in the event based to operating one line in terms of indicative savings we say somewhere between $200 and $250 million a year operating one those versus two.
Paul Smith: And we have time for one more question, the man in the middle with the also white shirting.
Renee Calabro: Renee Calabro from Deutsche Bank. Steve just going back to the working capital the $15 billion includes the $18 billion of martial inventory which is already of your debts so in terms of working capital release so that actually brings debt down you’re actually at a $3 billion positive contribution from working capital, how much more can you squeeze out of that and then secondly in terms of the security set that you have advanced to the $3.7 billion are there any undrawn facilities on that you have extended and can you just give us an idea what one of the biggest single client is there on the geographic profile of that work in terms of how much of it and let’s say in Africa or [indiscernible] by geography Thanks.
Steven Kalmin: I mean in terms of working capital yes, our in line is oversee one of those components you need to sort of look at different hiccups that some of the agencies if we obviously talking to some agency metrics we that are giving full credit necessarily on that on the way down so you do pickup a decent portion of that benefit on the way down and there is for example there is 50% SMP obviously higher ratio as we moved in sort of in terms of the leverage metrics you either would be more in receivables payable side but you can’t just look necessary just said receivables, payables and the comparison between those two because the payables it’s a whole cycle of the payables funding inventory which get converted into receivables itself. Yes, we would have that we need to show up in non-RMI ones to get more [indiscernible] but even in the RMI in terms of agency metrics also delivers the decent slug as well. In terms of the loans portfolio it is quite the best part that the many sort of many combinations in there I think there is certainly I mean a lot of this is the pre export structures working alongside banks where we have a 10%, 15% participation and get certain of tax some of them were specifically highlight in the financial themselves of course we have got [indiscernible] in Russia is obviously one where is and whether it’s a long term loans there, they are getting old price as well, they are getting a lot of Ruble sort of one place in terms of the cost structure is still able to obviously get affected but that quite bit impact in all also relief in terms of letting environment from what was the whole royalty in mineral replacement reaching there is quite slightly scale you get it obviously much big on the way up and it’s not - down. So there is - in Russia there is African I mean we participated in I mean international government say that I mean this is way that effect into fund in sales in terms of - such sovereign exposure there and there is amount in [indiscernible] there is amount in Congo or Brazil or there is amounts in various other places. There is Australian pre export structures of across the world so, I mean there is this 20, 30, 40, sort of names there which there is performance of it and the money is coming down and we have left that sort of recycle and now you can let us just naturally amortize if we talking about 18 months sort of growth all there is hundreds and millions of amortization is come through or you can.
Ivan Glasenberg: Refinance again.
Steven Kalmin: You can look sort of monetize through to other second reactions as well and actually on those things.
Paul Smith: Okay, and thank you for attending and for dialing in and if you are over the internet that’s it. Thank you.